Operator: Good day, and welcome to the Blue Bird Corporation Fiscal 2023 First Quarter Earnings Conference Call. All participants will be in a listen-only mode. [Operator Instructions] After today's presentation, there will be an opportunity to ask question. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Mark Benfield, Head of Investor Relations. Please go ahead. 
Mark Benfield: Thank you, and welcome to Blue Bird's Fiscal 2023 First Quarter Earnings Conference Call. The audio for our call is webcast live on blue-bird.com under the Investor Relations tab. You can access the supporting slides on our website by clicking on the presentations box on the IR landing page. Our comments today include forward-looking statements that are subject to risks that could cause actual results to be materially different. Those risks include, among others matters, we have noted on the following two slides and in our filings with the SEC. Blue Bird disclaims any obligation to update the information in this call. This afternoon, you will hear from Blue Bird's President and CEO, Matthew Stevenson; and CFO, Razvan Radulescu then we'll take some questions. Let's get started. Matt?
Matthew Stevenson: Thank you, Mark, and good afternoon, everyone. It has been just two months, since our most recent earnings call, but Razvan and I are still very excited to update you on the progress of Blue Bird. As we discussed last time through the hard work of the Blue Bird team, we have positioned the organization for a significant success this year and a dramatic turnaround from the results we posted in fiscal year 2022. This quarter, we are pleased to report that the business continues on its upward trajectory. And as we will review during this call is even ahead of plan. On Slide 6, you can see some of the key takeaways for the quarter. Overall, industry demand continues to be robust and the backlog for Blue Bird school buses is incredibly strong. In this past quarter, we also built the last major tranche of legacy price buses in our backlog. As we have forecasted in previous earnings calls, this will drive a significant inflection in our financials. We define these legacy price units as those at price levels prior to October of 2021. We also continue to aggressively manage costs throughout the business, which you will see in Razvan's portion of the presentation. Through strong leadership tenacity and lean process improvements, we are seeing some of the best operational performance in the company in nearly two years. We also continue to be incredibly excited about the impact the Clean School Bus program will have on our business and we are starting to see orders for our leading electric and propane buses come through. The market demand is strong. The business is back on track to deliver and is beginning to fire on all cylinders. We are incredibly upbeat about what is in front of us. Now let's take a look at some of the highlights from the first quarter. The financial performance for fiscal year 2023 quarter one shows a number of bright spots. Our units sold were nearly 2,000 which drove a record first quarter revenue for Blue Bird, up over $100 million from fiscal year 2022. This was over an 800-unit increase from the same period last year. As a result, adjusted free cash flow for the quarter was up $54 million compared to the first quarter of fiscal year 2022. Overall, it is an incredibly solid first quarter for Blue Bird with the legacy priced units being the main thing holding us back on the EBITDA conversion which was negative $4 million. The great news is that those units are now largely behind us. On the right-hand side of the slide, you can see some of the ongoing highlights for the business. As I mentioned, demand continues to be strong with the industry having roughly eight months of backlog. Blue Bird is seeing that strong demand as well. Our backlog is incredibly robust with over 5,300 units worth over $675 million in revenue. Included in that backlog is $120 million a firm orders for electric buses and we are starting to receive orders from the EPA's Clean School Bus Program. In fact, we are already seeing some of the largest volume EV orders to date for customers in the states of Nevada, Kentucky, Tennessee and Utah through this program. Our sales for the quarter were 63% alternative power, demonstrating our continued leadership in the space. Part of that was our EV volume growth, up 130% year-over-year and we recently crested over 950 electric school buses on the road today including, Type A, C and D. As we have discussed in previous quarters, we have raised pricing considerably since July of 2021. The average selling price for our backlog is up 22% year-over-year. Part sales continue to be a bright spot for us also up 34% year-over-year. We recently completed a grassroots meeting with our dealers in Atlanta, where we laid out the vision for the company for the next three years. It was well attended by our dealers, whom we consider to be the best in the business. They are incredibly excited about what they saw and heard. Part of that meeting included a plant tour, where they saw some of the examples of a lean transformation in our operations. As you can see on Slide 8, these improvements in operations helped us hit some major performance milestones. In fact, we are seeing some of the best performance in nearly two years, in several critical areas. Missing parts are down dramatically, due to our efforts to improve material flow to the plant. Those have included, adjusting our warehousing strategy, resourcing numerous problematic suppliers, revising production constraints and making changes in leadership to increase the level of tenacity, to ensure we have all the necessary parts at production start. We also saw tremendous improvements in plant efficiency, over time and production hours per bus. This helped us achieve a number of first quarter records for Blue Bird including, first quarter revenue, volume and EV bookings. We also realized a record alternative powertrain mix and parts revenue for the first quarter. All these achievements are further proof, that the company continues to progress in the right direction. Slide 9, is a reminder of our key pillars around care, delight and deliver. Our focus areas within those pillars remain the same for fiscal year 2023 and include our people, lean transformation, expanding our total addressable market and scaling EV. I want to briefly touch on the progress of each of those since our last call. Regarding our teammates, we continue to update our facilities to enhance the working environment. In addition, we rolled out a large-scale wage increase for our hourly teammates to increase job satisfaction and help offset attrition. A new organizational structure of the plant is also in its final stages of implementation. It provides more resources for our frontline teammates by narrowing the span of control, and offering essential support functions by creating manufacturing cells or what we call quality leadership teams. Development of our commercial chassis offering continues to progress, while we stay focused on meeting the demand for our core school bus offerings. The work on our new EV centers is advancing nicely, and we expect it to be complete by the end of March. As we have mentioned in previous earnings calls, this will allow us to take EV production from four to 12 units per day by the end of June, with the ultimate goal of 20 units per day by the end of December. On the next slide, you can see some of the specific examples of initiatives rolled out across the plant focused on teamwork, safety, accountability, material placement and reducing waste. Pictured on the left, is an example of our quality leadership teams or QLTs. These teams work to deliver the best output at the lowest cost, and focus on immediate problem resolution, accountability, training and coaching. Each cell works as a team with defined roles and responsibilities around production, quality, materials and manufacturing engineering. Specific colored vest, identify the teammates by function. Every morning the QLTs have huddle meetings to review the prior day's performance. And we have also installed AI bots [ph] so they can track their progress throughout the day. One of the first areas in which we implemented these QLT, is nearly six months ago, was the chassis lines. We are now seeing dramatic improvements in these areas and in the quality of the product coming off the line. Through lean methodologies, we have also enhanced lab of areas of our plan to make them safer and more efficient. A few examples of this include our new air conditioning installation center and new detail center. Changes like this helped our final finish area pictured in the bottom right to increase output by over 30%. Slide 11 is a reminder of the EPA's Clean School Bus Rebate Program. This program allocates $5 billion over five years for clean and cleaner emission school buses. Approximately, 2,500 buses will be funded in this first year with an average rebate of $375,000 per electric bus. Customers have until the end of April to submit payment request forms to the EPA demonstrating, that new buses and eligible infrastructure have been ordered. We have already seen many buses come in from this program and we expect that to pick up as we near the deadline for customers to submit their information to the EPA. We are working closely with our dealers to secure orders for the customers for whom we collectively applied and secured funding for. We are also partnering with our dealers to aggressively market the merits of our industry-leading EV solution to the remaining customers, who make up the 1,200 buses that are not yet allocated to a specific OEM. Therefore, we expect the total impact of the first round of the program on Blue Bird to be at least $200 million of revenue, based on securing 500 to 700 additional EV orders. The long-term impact of this program will be well over $1 billion in revenue to our organization. The next round of the EPA's Clean School Bus Program is expected to start early in 2023 as a competitive grant program and we will be right there with our customers supporting their applications. I would now like to hand it over to Razvan to walk through our fiscal year '23 quarter one financial results in more detail, as well as our updated fiscal year '23 guidance.
Razvan Radulescu: Thanks, Matt and good afternoon. It's my pleasure to share with you the financial highlights from Blue Bird's fiscal 2023 first quarter results. The quarter end is based on a close date of December 31, 2022, whereas the prior year was based on a close date of January 1, 2022. We will file the 10-Q today February 8 after the market closes. Our 10-Q includes additional material and disclosure regarding our business and financial performance. We encourage you to read the 10-Q and the important disclosures that it contains. The appendix attached to today's presentation includes reconciliations of differences between GAAP and non-GAAP measures mentioned on this call as well as important disclaimers. Slide 13 is a summary of the first quarter for fiscal '23. It was a very good operating quarter for Blue Bird, with somewhat reduced supply chain disruptions, but with a significant number of legacy priced low-margin units. We have exceeded the revenues and adjusted EBITDA midpoint of our quarterly guidance provided in the last earnings call. The team has done a fantastic job and generated 1,957 unit sales volume, a record Q1, which was 808 units or 70% higher than prior year. Consolidated net revenue of $236 million was also a record for Q1 and $107 million or over 80% higher than prior year, driven by higher units, improved mix of electric buses, and pricing actions that are starting to take hold. The adjusted free cash flow was $20 million positive, $54 million higher than the prior year first quarter. This outstanding performance was driven by the further reduction in inventory back to normal levels during the quarter and support our great liquidity position at the end of this quarter. Adjusted EBITDA for the quarter was negative $4 million, due to increased material costs and still a relatively large amount of lower-priced oil backlog units. The missing pricing accounted for approximately negative $10 million. So excluding this, we would have posted a positive adjusted EBITDA of approximately $6 million. Moving on to slide 14. As mentioned before by Matt, our backlog at the end of Q1 continues to be extremely strong at over 5,300 units with the vast majority of these units at much higher price levels compared to the fiscal '22 build unit. Breaking down the $236 million in revenues into our two business segments, the bus net revenue was $213 million, up by approximately $100 million versus prior year. Our average bus revenue per unit increased from $98,000 to $109,000 or about 10%, which was largely the result of pricing actions taken over the past 18 months, as well as the higher mix of electric buses. EV sales were at the level of 92 units or 52 more than last year, a 130% increase. Parts revenue for the quarter was $22 million representing a growth of $6 million or 33% compared to the prior year. Over the past few quarters we have seen higher part sales, which is also a reflection of our improved supply chain in aftermarket. Gross margin for the quarter was 3.2% or 930 basis points lower than last year due to the old backlog fixed pricing and increased material costs. In fiscal 2023 Q1, adjusted net income was negative $10 million or $8 million lower than last year. Adjusted EBITDA of approximately negative $4 million was down compared with prior year by $8 million. Adjusted diluted earnings per share of negative $0.30 was down $0.23 from the prior year. Moving on to slide 15. We have all across the board positive developments year-over-year on the balance sheet. We ended the quarter roughly with $6 million in cash and reduced our debt by $16 million. The improvement in operating cash flow and adjusted free cash flow were primarily driven by trade working capital due to our operational improvements leading to inventory reductions. As a reminder at the end of November we entered into the sixth amendment to our credit facility extending the maturity date through December 31, 2024. The sixth amendment provides for revised covenants, modifications to the revolving credit facility and the new pricing grid. The amended covenants and the extended maturity of our loan provide Blue Bird with both flexibility and stability as our business continues to recover from the COVID-19 pandemic and associated global supply chain disruptions. On to slide 16. As a reminder together with our dealer partners, we also were able to increase partially the prices for backlog units beginning in the middle of last fiscal year and recovered about half of the missing pricing for each respective price level. However, during fiscal 2023 Q1, we still had approximately one-third of our production with very old units and some of the worse margins. We estimate this headwind to be 5% or approximately $10 million for fiscal 2023 Q1, but confirmed by our reported results today. Nevertheless starting with fiscal 2023 Q2 in January, we will have put the vast majority of the old backlog units behind us and have locked in pricing and backlog units at increasingly better margin. In fact our production schedule is almost full through the middle of fiscal 2023 Q4 with some production slots left open for EPA EV orders. While on some models Type D for example, we are sold out for the entire year. Currently, we are feeling the remaining slots open in fiscal 2023 Q4 for Type C and EV with very good margins. Slide 17 shows the work from fiscal 2022 Q1 adjusted EBITDA to the fiscal 2023 Q1 results. Starting on the left the $3.6 million the impact of the bus segment gross profit was negative $13.3 million mainly due to the large number of old legacy price buses from 2021. The impact of dismissing prices was negative $10 million. This was offset by favorable development in the parts segment gross profit of $4.6 million driven by higher sales and improved margins. Furthermore, we reduced our fixed cost by approximately $1 million compared to Q1 a year ago. The sum total of all of the above-mentioned developments drives our reported adjusted EBITDA result of negative $4.2 million. However, if you raise that fiscal year 2021 orders just to fiscal 2022 pricing level or 5% that would have generated approximately $10 million more as reflected on the chart. It is also worth noting, if we assume all bookings at current fiscal 2023 pricing at the 25% level plus an additional 10% in throughput, we would see an additional $15 million positive impact and this is how we are viewing the fourth fiscal quarter of this year. On slide 18 looking at fiscal year 2023 we want to share with you our updated forecast by quarter which serves the basis for our fiscal year 2023 total year guidance. As a reminder, we are taking a more transparent and conservative approach this year, but it will still be a somewhat uncertain year from a supply chain perspective that we are confident that we have course corrected all the other business levers that we could address. Looking forward at fiscal 2023 Q2 and Q3, we have higher prices taking hold higher revenues, more improvement from lower material costs, partially offset by increased labor costs due to inflation. Therefore, we forecast $245 million to $260 million in revenues and approximately $10 million in adjusted EBITDA for Q2, and $255 million to $270 million revenues and approximately $15 million of adjusted EBITDA for Q3, each with a margin of plus/minus $2 million. Finally in fiscal year 2023 Q4, with higher volume increased EV mix, best pricing and lower material costs, we expect to generate $265 million to $285 million in revenues, with adjusted EBITDA of approximately $20 million plus/minus $2 million. This represents a run rate of $80 million, or approximately 8% going out of the fiscal year 2023 and set us up for taking it to the next level in fiscal 2024 and beyond. Putting it all together for the total year, we expect revenues in excess of $1 billion and an increased adjusted EBITDA of approximately $43 million, with a range of $40 million to $46 million. Moving to slide 19. In summary, we are forecasting a significant improvement year-over-year in all aspects with revenues up more than 25% to over $1 billion, adjusted EBITDA in the range of $40 million to $46 million and positive free cash flow of $5 million to $11 million. On slide 20 we want to reiterate our outlook beyond 2023. Once the supply chain further normalizes, we expect to sell approximately 9,500 units including 1,500 unit EVs, and generate $100 million or 8% adjusted EBITDA on approximately $1.25 billion in revenues. This could be as early as fiscal year 2024, if the business environment is further stabilizing by then. Looking beyond that in the medium-term our EV growth and operational improvement can support volumes of 10,500 to 11,000 units including EVs in the range of 2,500 to 3,500 units generating revenues of $1.5 billion to $1.75 billion, with adjusted EBITDA of $150 million to $200 million or 10% to 11%. Our long-term target remains to drive profitable growth towards $2 billion in revenues comprising of 12,000 units, of which 5000 revs and generate EBITDA of approximately $250 million or 12%. We are incredibly excited about Blue Bird's future. And now, I'll turn it over back to Matt to further expand on this.
Matthew Stevenson: All right. Thank you, Razvan. On to slide 22, as detailed in the fiscal year 2023 guidance that Razvan walked through we are now past the vast majority of the legacy price units that were holding back our financial performance. Plus, we are seeing the results of all the hard work around operations starting to flow through to the P&L. We are now plan on booking at least 8,250 units, a 20% increase over fiscal year 2022 and driving a top line of $1 billion, a 25% increase year-over-year. Parts sales will continue to be on plan, with line of sight to have leased $84 million of revenue up 10%. We now expect the EBITDA performance to be approximately $43 million, up nearly fourfold compared to fiscal year 2022. EV bookings continue to be on plan, and we expect those to double to over 500. There have been no significant changes in the ACT Retail Sales forecast for fiscal year 2023. It continues to be supply chain constrained across the industry and our targeted bookings will put us right where we want to be around that 30% market share. I cannot emphasize enough the exciting demand in front of us. Retail sales have been off from their average of 32,000 units per year for the past three years in a row and the national school bus fleet is aging. The market was first constrained by COVID and school closures and has been held up more recently by the supply chain. This aging fleet must be replaced, and we expect substantially robust years ahead of us to address this pent-up demand. ACT is forecasting a compound annual growth rate of 10% from our fiscal year 2023 to fiscal year 2027. Our business is back on track, and we look forward to the robust market ahead. There are so many exciting things in front of Blue Bird. Let's turn to slide 23, as a summary reminder as to the strong investment highlights around our company. First is the market demand for Blue Bird school buses. We are a great countercyclical play to many companies and industries being affected by the slowdown in consumer spend. Plus not only are the fundamentals of our industry is strong, it's just starting to heat up with a 10% compound annual growth rate expected over the next five years. Second, there is a commitment from the highest level of government to electrify this country's school bus fleet. Not only will this reduce greenhouse gases, it will help reduce particulates that are found and being contributor to childhood asthma. Electrifying school buses is a mission that makes sense to everyone. And Blue Bird will be a direct beneficiary of this as we have more electric school buses on the road today than anyone. We also have a proven reputation as a leader in alternative powered school buses for over a decade as evidenced by the 20,000 plus propane powered Blue Bird's on the road today. Our exclusive partnership with Ford and ROUSH offers us a distinct performance advantage no one else has with the propane. And on EV, our collaboration with Cummins offers something to other electric school bus manufacturer provides, a powertrain partner with over 100 years of experience and who knows the school bus industry inside and out. Razvan walked through our long-term forecast and as impressive as the outlook is, it does not even factor in our efforts to expand our total addressable market. The commercial strip chassis offering could add a few thousand units per year to the long-term forecast. We have discussed previously how we restructured the organization to be leaner. And with our lean transformation efforts, we are removing non-value-added processes and reducing standard production hours per bus. We are continuously looking for ways to take cost out and then at the same time increase quality. As we touched on today, we have now gotten through the last significant tranche of legacy price buses and are beginning to fire on all cylinders. All of these factors will provide us with 10% plus adjusted EBITDA margins in a mid-term normalized operating environment. As you saw in the guidance we provided for the second half of fiscal year 2023, we get back to approximately 7% adjusted to EBIT on supply constrained volume proving and that in a normalized operating environment double-digit adjusted EBITDA will be in our reach. As I mentioned at the beginning of this call, we continue to be extremely excited about the progress of Blue Bird. Our team has worked incredibly hard to get the business back on track and the results continue to show it. We would now like to open up the line for questions.
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] Our first question comes from Mike Shlisky with D.A. Davidson. Please go ahead.
Mike Shlisky: Good afternoon and thank you for taking my questions. I wanted to maybe first ask a few about the outlook. Matt you had mentioned the 10% CAGR for the industry over the next five years. But if you look at the chart you put out there and its constant risky as well. The very big jump between 2023 and 2024, because if you know if there's any reason why there'd be a big jump there, are there any regulatory changes taking place or have a pull-forward or push back on revenue or anything else unusual that makes it such a strong growth rate from this current fiscal year to next fiscal year?
Matthew Stevenson: Hey Mike, it's Matt Stevenson. Thanks for the question. Really my concern is around the pent-up demand. If you look at an industry that historically is around that 31,000, 32,000 and then in the more recent history around that 35,000 mark. There's just a lot of pent-up demand for school buses there. And the forecast is we've seen some improvements in the stability of the supply chain. And then by the time you get into 2024, the feeling is lot of this is going to get -- the case will be worked out and it will enable us to get higher production capacity as well as our competitors.
Mike Shlisky: Okay. That makes perfect sense. And then talking about your EV outlook as well. You had mentioned that you expect to get $1 billion plus out of the $5 million from the EPA program. And that sounds okay, but your overall share of the market is roughly 30%. You're talking about low 20s here in your comments. Is there anything out there from the competition or anything we should be thinking about as to why you might not get 30% or if not quite a bit higher than that when all is said and done on the EPA program?
Matthew Stevenson: Yes, Mike, I think you're spot on. We're just being conservative in terms of how we're looking at it. But if you take our – like you said our historic market share and our leadership in the EV position that would forecast an opportunity to have more than that but we're just being conservative with our approach here.
Mike Shlisky: Okay. Maybe one last one for me on pricing. Can you just give us a little more color on some of the cadence of pricing going forward? Could it just kind of inch up through the rest of the year as backlog evolves and as EV mix grows? And do you think there's opportunity for further growth in pricing in 2024? 
Razvan Radulescu: Hi, Mike, this is Razvan. I'll take this question. So as you would see on Slide 16, you can observe that the makeup of our upcoming project itself based on the different price levels. We had already sold out almost all the way through the end of fiscal 2023. So those are pretty much locked in. We are now feeling the second half of fiscal 2023 Q4 with orders at the current price level which is the 25% price increase versus 18 months ago. So in terms of fiscal 2023 it's pretty much set and we are also getting good orders coming in at this price level. As far as fiscal 2024, it's a bit too early to predict how it's going to go and we will update you as we have more visibility into fiscal 2024 later.
Mike Shlisky: Okay, and that's great color. I appreciate the discussion. I'll pass it along.
Matthew Stevenson: Thank you, Mike.
Operator: [Operator Instructions] Our next question comes from Eric Stine with Craig-Hallum. Please go ahead.
Eric Stine: Hi, everyone. Thanks for taking the questions.
Matthew Stevenson: Hey, Eric.
Eric Stine: Hey. So I mean obviously, a really strong start to the year, I think above where you had kind of forecast last quarter. And it looks like maybe not as steep as your typical ramp and it's more of a general ramp throughout the year. So just curious, what do you attribute the first quarter strength to? I mean is it that you had a modest loosening of the supply chain? Obviously, there's pent-up demand, something around productivity of the plant because that was a pretty eye-opening number. So just curious if you could fill in some blanks there? 
Matthew Stevenson: Yes. Thanks for the question Eric. It's Matt. We talked about the operational improvements we've been working on for well over a year now. And month-over-month week-over-week the team continues to get better and we're really starting to see the realization of those efforts. And there has been some improvement in the stability of the supply chain which always helps. But it's just the hard work is starting to pay off.
Eric Stine: Got it. And then thinking about sort of the remainder of the year except in the second half of the fourth quarter, you're pretty much full. I mean is that limited more just by customer delivery schedule request? I mean because it seems that you actually could push harder on that. Now it sounds like you're also holding off on filling some slots so you can have them open when electric orders are placed here over the coming months but maybe some thoughts on the ramp? 
Matthew Stevenson: Yes. So I think you touched on it Eric, historically Blue Bird's would have a much bigger second half on volume than first half and it's more even fueled throughout the year and that's really due to supply chain constraints. We're seeing it across the industry still suppliers are having issues finding frontline labor and having those teammates available to increase their capacity. And the same with the commercial truck market still holding in there pretty strong. So really it's just -- it's centering around supply chain limitations from taking volume higher, because the demand is there. 
Eric Stine: Got it. Okay. And then maybe last one for me. Just on -- obviously, you expect a nice order flow on electric and you're expecting that to pick up here over the next couple of months. But when you think about the coming quarters here in fiscal 2023, I mean, I would assume that you're not able to fulfill all of those orders within the fiscal year. And I guess what I'm getting at if you're talking about an $80 million EBITDA run rate just trying to get a sense, it would seem like in fiscal 2024 and I haven't done the math yet on the slide you had, but in fiscal 2024, I mean, you certainly would look at that $80 million as a number that you would grow from year-over-year?
Razvan Radulescu : Yes, hi, Eric, this is Razvan. I'll take this question. So it's a bit too early to give guidance for fiscal 2024. Obviously, there are still many variables. However, as we've shown in our outlook on Page 20 in our presentation in the short-term for a normal year, we expect to have about $100 million plus of EBITDA with 8% on roughly 9,500 units with a good mix of EVs. So this could be as early as fiscal 2024 assuming the business continues to improve and the supply chain continues to stabilize a bit more. 
Eric Stine: Okay. That's great. Thank you.
Matthew Stevenson: Thank you, Eric.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Matthew Stevenson for any closing remarks.
Matthew Stevenson : All right. Thank you Sarah, and thank you to all who is joining us on the call today. As you heard during our prepared remarks, demand in our market continues to be strong and the backlog for Blue Bird buses is robust. Orders for the EPA's Clean School Bus Program are beginning to come in, and will continue to fuel our leadership in alternative power in electric school buses. The business has turned the corner. As evidenced by the numerous first quarter records for the business, including revenue, bookings, EV sales and our parts business. Plus, we are increasing the total year EBITDA guidance. Blue Bird is starting to fire on all cylinders, as the vast majority of legacy price buses are now behind us, and numerous operational improvements are starting to take hold. We are very confident and certain about where we are headed and that is back to historic margin levels and beyond. Should you have any follow-up questions, please do not hesitate to contact our Head of Investor Relations, Mark Benfield. Thank you, again, for your time and we look forward to update you on the continued progress of the Blue Bird in next quarter. Thank you and good evening.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.